Operator: Ladies and gentlemen, thank you for standing by, welcome to the Dycom Results Conference Call. At this time, all the participant lines are in a listen-only mode. Later we will be an opportunity for your question-and-answer session instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Steve Nielsen. Please go ahead.
Steven Nielsen: Thank you, Greg. Good morning, everyone. I'd like to thank you for attending this conference call to review our second quarter fiscal 2018 results. Before we begin, going to Slide 3. During this call, we will be referring to a slide presentation, which can be found on our website's Investor Relations main page. Relevant slides will be identified by numbers throughout our presentation. Today, we have on the call, Drew DeFerrari, our Chief Financial Officer; and Rick Vilsoet, our General Counsel Now I will turn the call over to Rick Vilsoet.
Rick Vilsoet: Thank you, Steve. Except for historical information, the statements made by the company management during this call maybe forward looking and are maybe pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including those related to the company's outlook are based on management's current expectations, estimates and projections and involve known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks and uncertainties are more fully described in the company's annual report on Form 10-K for the year ended July 29, 2017, and other periodic filings with the Securities and Exchange Commission. The company assumes no obligation to update forward-looking statements. Steve?
Steven Nielsen: Thanks, Rick. Now moving to Slide 4 and a review of our second quarter results. As you review our results, please note that we have presented in our release and comments certain revenue amounts excluding revenues from storm restoration services during the quarter and from a business acquired during the third quarter of fiscal 2017. Adjusted EBITDA, adjusted net income and adjusted diluted earnings per share, all of which are non-GAAP financial measures. See slides 13 through 21 for a reconciliation of our non-GAAP measures to GAAP measures. Revenue was $655.1 million, a decrease of 6.6%. Organic revenue, excluding $19.6 million of storm restoration services in the quarter declined 10.6%. This quarter reflected an increase in demand from two key customers as we deployed 1-gigabit wireline networks, wireless/wireline converged networks and grew core market share, offset by the expected moderation from a large customer, revenue declined from certain other customers. Gross margin were 17.48% of revenue, reflecting difficult winter weather conditions and cost associated with the initiation of large customer programs. General and administrative expenses were 9.21%. All of these factors produced adjusted EBITDA of $59.6 million or 9.1% of revenue and adjusted diluted earnings per share of $0.12 compared to $0.82 from the year-ago quarter. Operating cash flow was strong, totaling $103.7 million in the quarter. Liquidity was ample as cash and availability under our credit facility was $485.4 million at the end of the quarter. Going to Slide 5. Today, a number of major industry participants are deploying significant wireline networks across broad sections of the country. These networks are generally designed to provision bandwidth enabling 1-gigabit speeds to individual consumers. In addition, emerging wireless technologies are, in and of themselves, driving significant wireline deployments. A complementary wireline investment cycle is under way to facilitate what is expected to be a decades long deployment of fully converged wireless/wireline networks. The industry effort required to deploy these converged networks has and will meaningfully broadened our set of opportunities. Total industry opportunities in aggregate are robust. We are providing program management planning, engineering and design, aerial and underground construction and fulfillment services for 1-gigabit deployments. These services are being provided across the country in dozens of metropolitan areas to a number of customers. In addition, we have secured a number of converged wireless/wireline multiuse network deployments across the country, planning engineering and limited construction have begun. Engineering and construction activities is expected to increase and accelerate throughout 2018. Customers are continuing to reveal with specificity new multiyear initiatives that are being planned and managed on a market-by-market basis. Our ability to provide integrated planning, engineering and design, procurement and construction and maintenance services is of particular value to several industry participants. As with prior initiations of large-scale network deployments, we expect some normal timing volatility and customer spending modulations as network deployment strategies evolve and tactical considerations primarily permitting impact timing. We remain confident that our competitively unparalleled scale and market share, as well as our financial strength position us well to deliver valuable services to our customers and robust returns for our shareholders. Now moving to Slide 6. We experienced the effects of a strong overall industry environment during the quarter, but saw continued moderation from a large customer as expected. Revenue declined from certain other customers, as well as impacts from difficult winter weather conditions. Organic revenue, excluding storm restoration services declined 10.6%. Our top 5 customers combined produced 76.5% of revenue, declining 8.5% organically, while all other customers decreased 16.6% organically. AT&T was our largest customer at 22.4% of total revenue or $146.6 million. Revenue from Comcast was $139.4 million or 21.3% of revenue and grew organically 9%. Revenue from CenturyLink was $100.9 million or 15.4% of revenue. CenturyLink was our third-largest customer. Verizon was Dycom's fourth largest customer for the quarter at 13.5% of revenue or $88.2 million. Verizon grew 40.7% organically. And finally, revenue from Charter was $26 million, or 4% of revenue. Charter was our fifth largest customer. We are pleased that we have continued to gain profitable market share, extend our geographic reach and expand our program management network planning services. In fact, over the last several years, we have meaningfully increased the long-term value of our maintenance business, a trend which we believe will parallel our deployment of 1-gigabit and wireless/wireline converged networks as those deployments dramatically increase the amount of outside plant network that must be extended and maintained. Going to Slide 7. Backlog at the end of the second quarter was $5.847 billion versus $6.198 billion at the end of the first quarter of 2018, a decrease of approximately $351 million. Of this backlog, approximately $3.047 billion is expected to be completed in the next 12 months. We are pleased with our next 12 months backlog as it clearly signals meaningful organic growth for fiscal 2019, the 12-month period ending January 2019. Both backlog calculations reflect solid performance as we booked new work and renewed existing work. We continue to anticipate substantial future opportunities across a broad array of our customers. For Charter, we extended fulfillment services, agreements in Wisconsin, Michigan, Ohio and New York. With Comcast, we renewed construction and maintenance service agreements in Massachusetts and Connecticut, and fulfillment services agreements in New Jersey and Pennsylvania. With CenturyLink, we renewed construction and maintenance service agreements in South Dakota, Nebraska, Minnesota and Wisconsin. From various customers, we extended locating services agreements in California and New Jersey. And finally, we secured rural and municipal broadband projects in South Dakota, Minnesota and South Carolina. Headcount was flat during the quarter at 14,368. Now I will turn the call over to Drew for his financial review and outlook.
Drew DeFerrari: Thanks, Steve and good morning, everyone. Going to Slide 8. Contract revenues for Q2 '18 were $655.1 million, and organic revenue declined 10.6% from moderation by a large customer and declines from certain other customers, partially offset by solid growth from two top 5 customers. Storm restoration services contributed $19.6 million of revenue, and the business acquired in the April 2017 quarter contributed $8.4 million of revenue. Adjusted EBITDA was $59.6 million in Q2 '18, which was 9.1% of revenue. Gross margins were at 17.48%, which was over 150 basis points below our expectations for the quarter. The last month of the quarter was marked by widespread adverse weather, which reduced the number of available work days and negatively impacted productivity and margins. Margins were also impacted by cost incurred in conjunction with the initiation of large customer programs. G&A expense increased 92 basis points to 9.2% of revenue in Q2 '18. The year-over-year G&A variance mostly resulted from the impact of labor costs, which are supporting our expanding scale to address growth initiatives. Additionally, there was higher share-based compensation related to divesting scheduled awards in the current period. Our non-GAAP adjusted diluted EPS in Q2 '18 was $0.12 per share. For purposes of calculating non-GAAP EPS, there are 3 items to highlight, which are provided in the reconciliation of non-GAAP measures in the slide presentation and press release. First, we have excluded income tax benefits of approximately $32.2 million related to the impact of tax reform, which became effective during the quarter, primarily from the change in valuation of our net deferred income tax liabilities. Secondly, we have excluded income tax benefits of approximately $6.9 million for the settlement of share-based awards, which is now required to be reflected in the income statement. And third, we've excluded the non-cash amortization of our convertible notes. Additionally, on the notes, we have excluded approximately 435,000 shares from the weighted share count as we have bond hedge in place. Now going forward to Slide 9. Our balance sheet and financial profile continue to reflect the strength of our business. We ended the quarter with $358.1 million of term loans outstanding and no revolver borrowings on our senior facility. Our liquidity is robust at $485.4 million at the end of the quarter, consisting of availability from our credit facility and cash on hand. Operating cash flows were strong at $103.7 million during Q2 '18. The combined DSOs of accounts receivable and cost in excess of billings were 95 days for Q2 '18, reflecting normal seasonal increases and timing of collections. Capital expenditures were $28.8 million during Q2 '18, net of disposal proceeds, and gross CapEx was $31.8 million. For fiscal 2019, we anticipate capital expenditures, net of disposal proceeds, to range from $190 million to $200 million. In summary, we are well positioned with a strong balance sheet and ample liquidity. Going to our outlook on Slides 10 and 11. As we look ahead to fiscal 2019, we continue to see a broad set of customer opportunities, which are expected to drive meaningful full growth. This guidance reflects the anticipated timing of activity of large customer programs and the related impacts on margins, as well as consideration of near-term weather conditions. For the full year, we currently expect revenues, which range from $3.3 billion to $3.5 billion. We expect accelerating fiber deployments for emerging wireless technologies, increasing wireless services and solid demand from several large customers reflecting 1-gigabit deployments and fiber-deep cable capacity projects. Non-GAAP adjusted diluted EPS is expected to range from $5.22 to $6.14 per share based on an estimated diluted shares of approximately 31.9 million. Adjusted EBITDA margin is expected to range from 13.6% to 14.1% of revenue. As for seasonality and the trend compared to the same quarter last year, revenue is expected to decline in the April quarter and then increase in the July, October, January quarters. Additionally, revenue and margins for fiscal 2019 are expected to be impacted by seasonal adverse weather, which is more likely to occur during the winter season, including the fiscal quarters ending into April and January. Our expectations reflected annual guidance include depreciation, which is expected to range from $160 million to $164 million and amortization expected at $22 million. Share-based compensation included in G&A expense is estimated to range from $26 million to $27 million. Adjusted interest expense is expected to range from $22 million to $23 million, excluding $19.1 million of interest for the non-cash amortization of the debt discount on our notes. Other income, net, is expected to range from $6 million to $8 million. The forecasted effective tax rate is expected to range from 27% to 27.5%, which reflects the changes from recent tax reform that is before the tax effects of the settlement of share-based awards. Now going to Slide 11. For the April 2018 quarter, which is Q1 of fiscal 2019, we currently expect total revenue to range from $720 million to $750 million, which reflects accelerating fiber deployments for emerging wireless technologies, wireless services that begin to ramp and solid demand from several large customers. Non-GAAP adjusted diluted EPS is to range from $0.63 to $0.78 per share based on estimated diluted shares of approximately 31.8 million and non-GAAP adjusted EBITDA percent to range from 10.7% to 11.1%. The margin outlook for Q1 '19 reflects the anticipated timing of activity on large customer programs and the related impacts on margins, as well as consideration of near-term weather conditions. Other expectations included in the Q1 '19 outlook include depreciation, which is expected to range from $37.9 million to $38.7 million and amortization is expected at $5.5 million. Share-based compensation included in G&A is estimated at approximately $5.3 million. Adjusted interest expense is expected at $5.4 million, excluding $4.7 million of interest on the non-cash amortization of the debt discount on our notes. Other income net is expected to range from $4.1 million to $4.7 million. The effective tax rate is expected to range from 27% to 27.5% before the tax effects of the settlement of share-based awards. Now I will turn the call back to Steve.
Steven Nielsen: Thanks, Drew. Going to Slide 12. Within a growing economy, we experienced the effects of a strong industry environment and capitalized on our significant strengths. First and foremost, we maintained strong customer relationships throughout our markets, we continued to win and extend contracts at attractive pricing. Secondly, the strength of those relationships and the extensive market presence they have created has allowed us to be at the forefront of evolving industry opportunities. The end market drivers of these opportunities remain firm and are strengthening. Fiber deployments in contemplation of emerging wireless technologies have begun in many regions of the country. A significant number of new project initiations will continue to occur in the near term. Wireless construction activity in support of expanded coverage and capacity is poised to accelerate through the deployment of enhanced macro cells and new small cells. Telephone companies are deploying [ph] fiber-to-the-home to enable video offerings at 1-gigabit high-speed connections. This activity is expected to reaccelerate in the near term. Cable operators are deploying fiber to small and medium businesses and enterprises. These deployments are often in anticipation of the customer sales process as confidence in the number of existing customers continue to increase. Fiber-deep deployments to expand capacity as well as newbuild opportunities and overall capital expenditures are increasing. Dramatically increased speeds to consumers are being provisioned. Customers are consolidating supply chain is creating opportunities for market share growth and increasing the long-term value of our maintenance business. In addition, we are increasingly providing integrated planning, engineering and design, procurement and construction and maintenance services creating more visibility around future revenue streams. Within this context, we believe we are uniquely positioned to manage and capitalized to meaningfully experience an improving industry environment to the benefit of our shareholders. While we are disappointed with current revenue and margin softness, we see that softness abating in the near term and remain encouraged that our major customers possess significant financial strength and are committed to multiyear capital spending initiatives. These initiatives are increasing in number across multiple customers. And improved regulatory environment is increasingly supportive of these initiatives. We remain confident in our strategies, the prospects for our company, the capabilities of our dedicated employees and the experience of our management team as we grow our business and capitalization. Now, Greg, we will open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Matt Duncan from Stephens Inc. Please go ahead.
Matt Duncan: Thanks. Good morning, guys.
Steven Nielsen: Good morning, Matt.
Matt Duncan: So Steve, first question on your backlog, total backlog taking a step down. I know the timing of larger, longer-term contracts is lumpy and frankly I'm not that worried that it declined, but I know some people are going to be. So can you maybe talk about your perspective on the tick down in total backlog? And do you generally expect that number to grow here over the next few years? Or in the near-term, anyway given what you're hearing from your customers and some of the things you've talked about this morning?
Steven Nielsen: So Matt, I think as you know, backlog is somewhat of a lumpy process, particularly when you recognize that 75%, 80% of our revenue is under master service agreements and other long-term contracts. And so as you recall, there's periods of time where you're burning that down and then you book new long-term agreements, and it jumps up. So we don't attribute any significance to a slight quarterly trend. If you'd asked us 2 years ago would we be just short of $6 billion in backlog this quarter, I think we would've been pretty pleased.
Matt Duncan: But do you expect it to grow from here generally over time, I'm not asking about next quarter, but just generally over time given the plans of your customers?
Steven Nielsen: We expect that the scale of the company to continue to grow. We've got organic growth in this year's guidance.
Matt Duncan: Right.
Steven Nielsen: We see drivers into '19 and '20, maybe even '21. And so no reason to expect that it wouldn't.
Matt Duncan: Okay. That's very helpful. And then another thing that I know I get asked about a lot is just rising labor costs and how you guys protect yourselves against that in thinking about your gross margin profile going forward. Remind us how you guys handle labor cost in your contracts? What the impact is when labor cost do start to rise? And what level of gross margin are you anticipating embedded within our guidance for this year?
Steven Nielsen: So I think what's important to keep in mind is that the management team here has been through periods of time where we had unemployment rates at this lower level before. We're a large employer, probably in wireline, the largest employer in the country. And so that gives us lots of embedded capacity. We do have escalators in our contracts, in some instances, that each year we get an adjustment based on some sort of index. And we also protect ourselves against rising labor cost because we're more protected today than we were a year ago, right? So there's always opportunities to improve the business. But we feel good about our ability to manage through this. It's nothing new to anybody who's been in the business.
Matt Duncan: Sure, and then just the embedded gross margin within the guide Drew, maybe you could give us that?
Drew DeFerrari: Matt, I don't think - we've given you kind of EBITDA and we've given you EPS. I think you can work your way through it with the other items. We're not going to go into kind of a disaggregating any more than we have in the slides.
Matt Duncan: All right. Fair enough. Thanks, guys.
Operator: Your next question comes from the line of Alex Rygiel from B. Riley FBR. Please go ahead.
Alex Rygiel: Great, Steve, and Drew.
Steven Nielsen: Good morning, Alex.
Alex Rygiel: A couple of quick questions, Steve. How many 5G customers do you have today? And can you talk a little bit about the 5G CapEx timeline and how you see that developing over the next sort of 5 to 8 years? And how the different tasks that you could be providing to your customers could change between now in your 5 or 8 --?
Steven Nielsen: So 5G is a broad concept, right? So the way we think about 5G, there's an element to the 5G technology, which requires pretty massive fiber densification. And so we have a number of customers that are either doing it on their own behalf or on the behalf of a wireless carrier that is extending fiber to increase the density of a network and increase small cell capacity. So I think that's step one. And I think all wireline customers that we have over time will be supporting the effort depending on the footprint and the wireless carrier that's deploying 5G. I think the second element of 5G, of course, is deploying it across the actual small cell antennas that are attached to that fiber and once again we're doing that for a number of customers today, we think that that small cell deployment, in support of densification, both for LT, 4G LTE and 5G will continue to increase. And then, finally, there will be deployments. There are beginning to be deployments of the 5G technical protocol across the macro cell network, even at lower frequency spectrum bands. And that requires an antenna work lines and antenna work, which we think, and new radios, that we think will be involved in that too. So I think we address the entirety of the spectrum of opportunity.
Alex Rygiel: And can you comment on the competitive environment. Are you seeing an increased level of competition in any sub-sector of the businesses that you're operating in?
Steven Nielsen: I think right now there's a lot of work to get done. People are gearing up, and I think people's minds are focused now on getting the work done that they have. And so I think there's plenty to go around. No in particular area where we're seeing more competition than in other.
Alex Rygiel: Very helpful. Good luck in ’18.
Steven Nielsen: Thank you.
Operator: The next question comes from the line of Tahira Afzal from KeyBanc Capital Markets. Please go ahead.
Steven Nielsen: Good morning.
Tahira Afzal: Hi, Steve and Drew. How are you guys doing?
Steven Nielsen: We’re good.
Tahira Afzal: Okay. The first question is, I know you've seen a lot of growth and lumpiness in backlog is the norm in this business. As you see yourselves exiting this year on an annualized basis, are you still in a position where you can see backlog growth in the book-to-bills and the 1.3, 1.5 zone, because it seems pretty back-end loaded in terms of your revenue burn. I'm just wondering how should we be thinking about growth at the back end of the year?
Steven Nielsen: Well, I think, Tahira, as we have talked about with Matt, remember we have master service agreements that are roughly just by themselves about 2/3rds of the revenue in any given quarter. And as we go through in renewal cycles, you see 3 years, 5 years or sometimes longer worth of backlog comes in. And so for us, I know it's a good indicator for the Street to watch, as we renew those contrast, I mean, it will get larger as the scope of the enterprise gets larger. But it's going to be a function of when those relationships get renewed, extended or entered into. But there is no lack of opportunity to create more revenue capacity in the business right now.
Tahira Afzal: Got it. Okay. Steve, I guess a second follow-up. We saw one of your co-customers, for example, announced a pretty large M&A bandwidth [ph]. Sometimes investors get skittish around M&A and what that means for near term CapEx spending. Any thoughts or updates there? Are you getting enough reassurance from your core customers that M&A is not really going to push out any work and it's urgent enough?
Steven Nielsen: So I think in that specific situation that you just referenced Tahira, we looked at what they said in their prepared remarks on the call and said that nothing in the bid changed their 2018 capital expenditure guidance for their cable business. So I don't see it. They live in a competitive world. They have opportunities to deploy capital. And they just said that those weren't going to change in that particular situation.
Tahira Afzal: Okay. Very helpful, Steve. Thanks a lot.
Operator: Your next question comes from the line of the Chad Dillard from Deutsche Bank. Please go ahead.
Chad Dillard: Hi. Good morning, guys.
Steven Nielsen: Good morning, Chad.
Chad Dillard: So judging from the April quarter guidance, it seems like labor costs absorption will probably be with us for another quarter. Is there any way to quantify that figure? And also, how should we think about the cost absorption rolling off as fiscal 2019 progresses? And lastly maybe you can kind of break out how much of the margin pressure was due to cost absorption versus inclement weather during this past quarter?
Drew DeFerrari: Yes. Chad, this is Drew. Just as far as weather one, what I talked about in the remarks that was it was over about 150 basis points relative to what we expected for the quarter. So you can work from there. And then as far as the outlook goes, we do see some pressure in Q1, as you can tell from the guidance and then on an annual basis, that improves - an improvement.
Steven Nielsen: Yes. And we've given annual guidance, Chad. For years, we would give the second quarter out and investors and sell-side folks didn't like it. So now, you're asking for it? Look, I think the directionally, you got it right. I mean, it gets better throughout the year. Obviously, we exit the year with a better margin profile than we entered to the year given the way that the quarters are coming together.
Chad Dillard: Got you. And how much visibility do you have into your largest customer? Of course, revenues really down a little bit again this quarter. I was trying to get a sense for how you should see the cadence of spendings snap back and your confidence level there?
Steven Nielsen: I mean, we know on the major programs that we're engaged with that customer what they'd like to get done this year, what they're expecting us to get done. And so I think we have pretty good visibility. It's in the backlog.
Chad Dillard: Okay. Thank you very much.
Operator: Your next question comes from the line of Adam Thalhimer from Thompson Davis. Please go ahead.
Adam Thalhimer: Thanks. Good morning, guys.
Steven Nielsen: Good morning, Adam.
Adam Thalhimer: Steve, can you give a little more color on the wireless -- the increasing wireless opportunities you talked about?
Steven Nielsen: Sure. So we're involved in a number of states with primarily with 2 large carriers. We're involved in the FirstNet program for AT&T. We see that ramping up. As you may have seen, AT&T took their CapEx guidance up for calendar '18 pretty materially. In part that was driven by FirstNet and the reimbursements that they expect to receive this year from FirstNet. So I think we see a real opportunity there. I think in both wireless and then with another large customer, we were encouraged that even though we had a slow winter quarter that wireless grew sequentially from Q1 to Q2. That's usually a good sign going into the spring, as well as with another large customer that had the same pattern that grew about 10% sequentially. So we see opportunity there.
Adam Thalhimer: Okay. And then, a lot of the people in your industry kind of characterized the 3-year outlook, and you touched on this a little bit and said '19 is better that '18, '20 is better than '19. I mean, do you have that kind of visibility for the next 3 years?
Steven Nielsen: Well, I think the way we think about it, Adam, is these are large programs. Technology rollouts take, in some cases, literally decades. I mean, we're working on one large fiber-to-the-home program now in our 14th year. And so I think we see real strong opportunity across a whole number of businesses, and I think '18 is going to be as indicated, a good year and I think that will continue.
Adam Thalhimer: And then just lastly I wanted to try on CenturyLink, it was the first year-over-year decline in revenue and sometimes. Just curious any color you can provide there?
Steven Nielsen: Yes, they are obviously going through the integration with level 3. And I think if you look at their public comments last week, they indicated that they recognized and are reacting to the importance of driving fiber deeper into their network. And we believe that over time, that'll be good for the business.
Adam Thalhimer: Okay. Thanks.
Operator: Your next question comes from the line Bobby Burleson from Canaccord. Please go ahead.
Bobby Burleson: Sorry, guys. I was on mute. Yeah, well, I guess a lot of good questions have been asked. I guess I wanted to understand a little better what the drivers are of gross margin this year. I know you're not giving specific gross margin guidance, but is there any particular mix issues, large projects that are kind of coming to an end where maybe the margins are better at the tail end? Anything besides kind of just seasonality kind of winter patterns that you guys alluded to?
Steven Nielsen: Sure. So Bobby, I guess first thing is we don't have any major programs coming to an end. I mean, generally they're going to accelerate through the year. I mean, that's how organic growth is kind of, call it, 10% in the year, right? So I think we see that. I think it's particularly when you have a large number of projects under one big program that are starting up all over the country, you've got to spend to build your infrastructure around warehousing and office and yard space and the ability to handle that growth, and we're putting that in place, have put a good portion of it in place, more to go. And as that revenue come through, the revenue will certainly go grow faster than that -- than the support cost will as we go through the balance of the calendar year, for this…
Bobby Burleson: Great. And are there any particular quarter we should be thinking about where those kind of front-end cost might be little bit more compressed into one quarter? Or is it kind of a linear ramp throughout the year?
Steven Nielsen: No. I think you'll see, as Drew comments indicated, I mean, you're going to see pretty substantial revenue growth to get to our full year guidance in the second, third and fourth quarters. And I think at that point, we'll be in a position where we're absorbing those costs based on that increased run rate.
Bobby Burleson: Okay, great. And then just looking at the major areas like some of the 5G spending that's happening this year, may be FirstNet, if you had to look at different buckets of growth, can you kind of rank where you think the growth is strongest? And then maybe where there's the most potential for variability versus your expectations?
Steven Nielsen: Yes. I think we have pretty good visibility across all of the programs. If you think about fiber-to-the-home with AT&T, there's a commitment in '19. They've indicated that based on tax reform that they're going to spend incremental dollars there. So there's clearly a plan there. There's clearly a plan across FirstNet. Clearly, with Verizon's stated public goal to deploy fixed broadband, which is reliant on deep fiber deployments to 25 million to 30 million homes and perhaps more over the next 3 to 4 years, as well as the cable capacity projects we're involved with to expand network capacity. I think all of those are strong. I think our traditional - what I'll call traditional wireless services on micro sites, much smaller business for us, but has some real growth opportunities. And I think it can be several hundred million dollar business as we go forward. So that would imply off of a smaller base, a higher-growth rate than wireline. But I think there's plenty wireline opportunity too.
Bobby Burleson: Great. I mean, in the past, there's been times when folks were concerned about new technology may be impacting the amount of fiber spend in a negative sense. Any update on kind of your perspectives there in terms of fixed antenna or other types of solutions that people have been so concerned about slowing the need for the deployment of fiber?
Steven Nielsen: So I think I've been answering that question for about 25 years, Bobby. So [indiscernible] grow in 5% to 6% organically for generation. So I think the way I think about new technologies that is the Street always sees them as substitutes and in fact, they're generally complements. And so when you have multiple networks serving a geographic area perhaps using different technologies, may be in some ideal or conceptual sense, if you had 1 technology that 3 people deploy, that 2 people deploy, there might have been more work but if you had 3 or 4 people that are deploying complementary technologies that solve certain problems for consumers in different ways, I think it makes for a more robust environment. And I think that's the environment that we're in today. I could foresee markets where we're participating in fiber-to-the-home, fiber-deep and fixed broadband all in the same geography.
Bobby Burleson: Okay.
Operator: Your next question comes from the line of Noelle Dilts from Stifel. Please go ahead.
Noelle Dilts: Hi, good morning.
Steven Nielsen: Good morning, Noelle. Welcome back.
Noelle Dilts: Thank you. So it's - looking at your EBITDA margin guidance for fiscal '19, 13.6% to 14.1%. For a long time now you've been talking about mid-teens EBITDA margins. Are you still thinking sort of there's opportunity to get into that 15-ish percent range? And then when you think about the drivers of getting there, is it really all about utilization and efficiency? Or does pricing come into some extent, if you can give us some thoughts there, that would be great?
Steven Nielsen: Sure, sure, Noelle, we’ve a somewhat disappointing a couple of quarters and so we're going to be prudent as we think ahead about margins going forward but we think mid-teens EBITDA, that there's plenty of our to opportunities to support outlook. We've got to make it happen. And it's really an execution gain and an efficiency gain. And we would expect that, that pricing will reflect as we enter into new projects, the costs that we need in order to get the mid-teens or we'll have somebody else do the work. So I think we're comfortable that as long as we do our job, as we get growth started again, that we'll get leverage in our costs and that margins will be able to expand.
Noelle Dilts: Great. That's helpful. And then I understand that the smaller customer, revenue is obviously down a lot year-over-year so not unexpected. Can you just give us some thoughts there on how to think about the trajectory of revenues moving forward?
Steven Nielsen: I think they're great customer. and we do lots of thing for them across broad part of the country and sometimes spending moves around here and there, sometimes in a quarter or a year. But I think you have to look at the collection of customers and see that there's robust opportunities for growth and that doesn't mean they're going to grow, but we've had years where we've been surprised.
Noelle Dilts: Okay. And then the last question I mean, I think at this point investors feel pretty comfortable with the outlook here for a lot of the major telco customers. I still get a lot of questions on where kind of the cable industry stands in terms of response for fiber-deep. Any thoughts there on kind of the sustainability of the spend out of the cable customers and if you see that increasing meaningfully as we go '19 and '20?
Steven Nielsen: Yes. I think if you look to the public comments of both the cable TV equipment suppliers, as well as for example, Cox's private, I mean, they talk about a 10-year spending plan to push fiber-deep into their networks, there is a new technical standard that people expect to settle in 2019 called DOCSIS duplex. That creates pretty robust upstream and downstream capabilities. It can be deployed in a number of ways, but I think it's most likely to be deployed by pushing fiber-deep. So I think we're very early in - across that industry and pushing fiber-deep.
Noelle Dilts: Thanks.
Operator: Your next question comes from the line of Jennifer Fritzsche from Wells Fargo. Please go ahead.
Jennifer Fritzsche: Great. Thank you for taking the questions. Steve, if I may, you touched on tax reform and your customer is benefiting from it. Yet I think backlog being flat, I struggled with knowing if they are using that as a sense of urgency in terms of spending because some would argue that's kind of a hall pass to aggressively spend. And if I may also, and I'm sorry if this was asked, but FirstNet you mentioned that. Is that technically in the backlog because we've gotten some mixed messages from towers if FirstNet is absolutely in the numbers [indiscernible]?
Steven Nielsen: Sure. So with respect to tax reform, Jennifer remember, with our master contracts as they increase spending and some have attributed that increased spending to increased cash flow associated from tax reform, the backlog, the way we calculate it on the master contracts is looking backwards. That's the most reliable for us over a long period of time to calculate it. But we see growth going forward. And I would tell you that there had has been adjustments and plans that had been talked about publicly and others that we've seen that - for which the change is been attributed, at least in part to tax reform. So I think tax reform is a real impact on some of the customers' spending plans. I think with respect to FirstNet, remember in our turf agreements that the FirstNet activities of the antenna and radio work were going great antenna work, it flows to those existing agreements. We have a pretty detailed understanding of what we're expected to accomplish this year. There are milestones, as I understand it, in FirstNet that AT&T has referred to about reimbursements. And I'm highly confident that they will get the work done in the way that they receive those contributions from FirstNet. So yes, it's in our outlook and in the backlog to the extent that you're looking for where FirstNet is there.
Jennifer Fritzsche: Thank you.
Operator: Next, we'll go back to the line of Noelle Dilts from Stifel. Please go ahead.
Noelle Dilts: Hi, thanks. Just kind of along the lines of tax reform. Just thinking about your cash flow, Dycom's cash flow. How are you thinking about maybe incremental cash flow associated with tax reform deploying that cash, any changes in priorities? And as we think about M&A, you mentioned opportunities on the wireless. Would you be looking to augment your capabilities there through acquisitions?
Steven Nielsen: So clearly, tax reform is going to increase our operating cash flow. It's always - it's a nice thing to have, but I think we think about capital allocations kind of in a consistent framework. And given the growth that we have we're always going to prioritize organic growth. The CapEx investments or working capital to support our customers and then we will look at the share repurchases versus M&A based on relative evaluation of those two types of assets. So I think it's a good thing. We have always purchased our equipment directly rather than through leasing companies. And so the benefit of expensing comes through to us on purchases directly. So I think we appreciate the benefits of tax reform. But we’re going to evaluate that incremental cash flow, consistent with our prior capital allocations framework.
Noelle Dilts: Thank you.
Operator: And at this time, there are no further questions.
Steven Nielsen: All right. And Drew just to round up.
Drew DeFerrari: Sure. So to round up on the remainder on the top 10 customers: Windstream was number 6 at 3.5%; Frontier was number 7 at 1.6%; OFS [indiscernible] was number 8 at 1.4%; Customer number 9 was at 1.4%; and Dominion Energy was number 10 at 1.2%. And then the split on telco and cable, telco was at 65.2%, cable was 25.9%. The [indiscernible] locating was 6.1% and electrical and other was 2.8%.
Steven Nielsen: Okay. Well, we thank everybody for your time and attendance. Our next quarter will be reported the week preceding Memorial Day. And we'll let you go. We know you're busy this morning. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.